Operator: Hello. Thank you for standing by and welcome to the Sientra Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Please be advised that today's conference may be recorded. [Operator Instructions]  I would now like to hand the conference over to your speaker today, Oliver Bennett. Please go ahead. 
Oliver Bennett: Thank you, operator. Good afternoon and welcome to the Sientra fourth quarter and full year 2021 earnings conference call. I would like to remind everyone that in our remarks today, we will include statements that are considered forward-looking statements within the meaning of United States securities laws. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends, which may affect the company's business, strategy, operations or financial performance. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection or forward-looking statement. A detailed discussion of the risks and uncertainties that the company faces is contained in its previously filed quarterly reports on Form 10-Q and its annual report on Form 10-K for the year ended December 31, 2021 to be filed with the SEC and available on the company's website and at sec.gov. I would also like to note that Sientra uses its Investor Relations website to publish important information about the company, including information that may be deemed material to investors. Financial and other information about Sientra is routinely posted and is accessible on the company's Investor Relations website at www.sientra.com. Today on our call we have Ron Menezes, Sientra's President and Chief Executive Officer; and Andy Schmidt, Sientra's Chief Financial Officer. I will now turn the call over to Ron. Ron?
Ron Menezes: Thanks, Oliver, and hello everyone. 2021 was a transformational year for Sientra. Sientra became the fastest growing breast implant company in US with market share gains that nearly doubled in both augmentation and reconstruction when compared to 2019. This performance has set the foundation for 2022 and beyond for accelerated expansion in the plastic surgery market and sustainable long-term growth. We had record plastic surgery Q4 revenue of $22.6 million, a 26% increase over Q4 2020 and brought our running total to six consecutive quarters of record revenue performance. Total plastic surgery revenue for fiscal year 2021 was $80.7 million as compared to $55 million for fiscal year 2020, an increase of 47%. The decision to focus our business on the plastic surgery market accelerated share gain in US breast products market separated Sientra from the competition. We started the year with the goal of advancing our position as a partner of choice for plastic surgeons by focusing on three key areas; one, taking action to shed non-strategic assets; two, identifying, investing in and executing commercial strategies targeted at accelerating Sientra's growth, breast augmentation and reconstruction; and number three, a total commitment to bring innovation and superior technology to our surgeons, practices and hospitals. As a result in 2021, Sientra continued to rapidly gain market share which has nearly doubled in both augmentation and reconstruction since 2019. Our existing accounts continue to perform extremely well and drove more than 70% of our revenue in 2021. New accounts also served as a leading indicator of our long-term growth profile. We added more than 100 accounts in the fourth quarter with 80% of them in the reconstruction area, reflecting our decision early in the year to focus on addressing this very important segment of the market. As a reminder, when we're bringing a new reconstruction account, it typically takes four to six months before we see significant sales volumes. So we expect these new accounts to be accretive to Sientra's top line growth in 2022 and beyond. We continue to drive patient demand through unique, direct-to-consumer marketing initiatives including training events that result in high pull-through on participating surgeons. Now let's look a little bit more specific by market. Breast reconstruction was once again an important driver of our sales in the quarter with 33% year-over-year growth and for the full year growing 70% versus 2020, resulting in the best year ever for our reconstruction business. While our market research estimates the reconstruction market actually declined 5% overall in 2021 versus 2020, due to hospital restrictions, our market share actually increased by almost 4% and exited the year with an estimated 14% market share. Early 2021, we made the decision to focus on reconstruction, leveraging great clinical data of our products into high GPO access, allowing us to bring in more hospital contracts. This is a critical market for us and supports our profitability growth due to its higher margins and long-term hospital contracts. In support of this goal, we launched last week the sixth at version of our Dermaspan tissue expander to address the surgeon need for greater fixation options. This new version of Dermaspan provides all the benefits of our traditional Dermaspan tissue expander while also providing a 360-degree TAV orientation for additional placement support options. Dermaspan 6-tab is another key product in our portfolio to support our initiatives to further increase share in the reconstruction market. We also recently submitted a 510(k) application for next-generation Allox2 PRO tissue expander with an anticipated launch later this year. We believe this dual-port MRI-compatible tissue expander with the first and only of its kind to be available in the US and will be an important addition for patients and surgeons in the reconstruction market. We expect even stronger upside from this market in 2022. We have already started expansion of our sales force to continue to drive demand to an interstate leading reconstruction portfolio. Now turning to the augmentation market. According to data from both the Aesthetic Society and American Society of Plastic Surgeons, breast augmentation remains one of the top procedures performed by plastic surgeons and one of the highest revenue generators for them. Market research indicates the breast augmentation market in 2021 grew to an all-time high increasing more than 20% versus 2020 and plus 30% versus 2019. And Sientra continued to outperform this market and we end up the year with approximately 11% share. Demand remained strong in the fourth quarter, resulting 22% year-over-year growth and for the full year increasing over 40%. We'll also double our consumer awareness over the past two years, growing at the highest rate in the category and putting us in the number two position most all brands. The key drivers for the success in augmentation of business were the following: first, the shift towards consumerization building on our position of loyalty through sales and marketing support and our product advantages, specifically our unmatched safety profile. We continue to market directly to the consumer. We have seen through our market research, the impact of our programs, the consumer preference does influence surgeon implant choice. We had over 500,000 website visits and sent more than 20,000 referral to our surgeon partners. The second thing we did, we started a physician loyalty program in 2021. They included revenue driving benefits and we're rolling it out to a broader group of customers in 2022 based on the initial success of the program. And finally, our safety message used in advertising collateral is making a very positive impact on our performance. The box warning put into place by the FDA last October now requires transparency in reporting complications among the manufacturers, and very clearly highlight Sientra's unrivaled safety profile. Safety remains a top driver in brand choice among patients. I'm proud that Sientra's unmatched safety profile coupled with a 20-year Platinum20 Warranty Program are the cornerstone of our brand education among patients seeking breast surgery. To further advance our goal of making Sientra a diversified aesthetics company focused on plastic surgeons. On January 5th, we announced the transformative acquisition of AuraGen Aesthetics novel fat grafting technology developed by leading researchers and plastic surgeons at Mass General Hospital. This product has been clinically proven to provide superior fat retention and predictability and utilizing a patient's own fat to augment the breast and other areas of the body. The addition of fat grafting technology to our product portfolio is exciting for the present and future centric as we have an opportunity to expand our TAM even further. This innovative product is a game changer for reconstruction where almost 80% of the surgeries use fat grafting. We also expect expanded use of fat grafting and augmentation due to its unique fat retention predictability and ease-of-use properties. Longer-term, we plan to expand into additional aesthetic applications, including the significant opportunity for face, hands and gluteal augmentation. Additionally, our new Senior Vice President of R&D & Regulatory, Denise Dajles will be leading a 200-patient clinical study to further validate the benefits of the AuraGen system in breast, while we prepare for a commercial launch in the first quarter of 2023. On April 21, our team is planning to host our first R&D Day in San Diego, where we plan to highlight our product pipeline. And briefly on the international expansion, we have entered into agreements with distribution partners in Canada, China and the Middle East in preparation for approval in those markets. Our clinically superior portfolio continues to generate interest in a number of OUS markets, and we'll continue to strategically look for the right partners -- right markets for expansion. In closing, with strong momentum behind us, we have many exciting catalysts on the horizon. In 2022, we expect to continue to expand our market share in the number of accounts in both the reconstruction and augmentation. We are focused on driving towards profitability in 2023 by further growing our topline and optimizing expense. We plan to fuel our future by transforming Sientra into a full aesthetics company, leveraging the full potential of our existing products and new fat grafting platform. Looking ahead, I'm confident that we're on track to double revenue within the next three years. With that I'll turn the call over to Andy. 
Andy Schmidt: Thanks Ron. Considering our Q4 2021 financial results. We recorded record plastic surgery Q4 revenue results which brings our running total to six consecutive quarters of record revenue performance. Sientra posted revenues of $22.6 million as compared to $17.9 million in Q4 of 2020 an increase of 26%. Total revenue for fiscal year 2021 was $80.7 million as compared to $55 million for fiscal 2020, an increase of 47%. Gross margin for Q4 2021 was 54.4% which is consistent with Q3 of 2021. The key driver for gross margins is product and channel mix. Similar to the first three quarters of 2021, Q4 revenue was driven by augmentation which has lower gross margins than the reconstruction space. Consistent throughout 2021 we experienced price stability across our entire product line and as expected product cost performance. Sientra continues to experience transition expenses in Q4 related to our distribution center move reducing our gross margins by approximately two percentage points in Q4. Okay, now switching to operating expense. Total operating expense for Q4 2021 was $26.1 million, which is flat with Q4 of 2020. Total operating expense for fiscal 2021 was $90.7 million as compared to our operating expense guidance of $85 million to $90 million. The slight increase above our guidance range is attributed to the incremental shipping expense associated with our $2 million plus Q4 2021 consensus revenue beat. Total GAAP loss from continuing operations for Q4 2021 was $15.9 million as compared to a $20.7 million loss for the previous year period. Total year 2021 loss from continuing operations was $62.5 million as compared to a loss of $67.1 million in 2020. Adjusted EBITDA for Q4 2021 was a $9.8 million loss as compared to a $9.6 million loss for Q4 of 2020. Adjusted EBITDA loss for total year 2021 was $31.2 million as compared to a loss of $32.8 million in 2020. Switching to key balance sheet items. We ended the December 31, 2021 period with a cash balance of $51.8 million. This compares to a balance of $55 million on December 31, 2020. The year-to-date cash used in operations was $44.5 million. However, $14.7 million of that amount was attributed to an increase in accounts receivable due to increasing 2021 sales and our transition in ERP systems in Q3 which caused the delay in delivery of customer statements. We expect to recapture much of that increase in accounts receivable in 2022. We also increased inventories by approximately $13.8 million in 2021 to address increasing sales and to support our growing reconstruction business that includes significant consignment inventory. Total debt on December 31, 2021, was approximately $76 million and total outstanding shares totaled approximately 62 million shares at year-end. Turning to guidance for 2022. We expect plastic surgery revenue in the range of $93 million to $97 million, reflecting growth of 15% to 20% compared to sales of $80.7 million in 2021. At this point, I'll turn the call back to Ron. 
Ron Menezes: Thanks, Andy. We will now open the call for questions. Operator?
Oliver Bennett: Actually before we go to Q&A, we're supposed to not be checking text messages when you're in a call, but I'm very excited, I quickly glanced. And I'm very excited to report that Health Canada just approved our submission or implants in Canada. So very, very excited. This is literally hot off the press that Health Canada just approved our implants to be marketed in Canada. So very excited for that. We'll be glad to share more specifics. But with that, we'll now open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Jon Block with Stifel. You may proceed with your question.
Unidentified Analyst: Hey, guys. This is Tom stepping on for Jon. Thanks for the questions. If I can start off with guidance, maybe in the context of the 15% to 20% growth. Ron, how should we be thinking about both market growth and also kind of the share gains you're expecting between both recon and aug, should we still expect kind of that accelerated share gains you've talked about?
Ron Menezes: Yes. So, we're looking at -- as I shared in the past is, for our augmentation, we expect the market now at all-time high versus 2021. So it will be single digit growth, a low single, which is exactly what the market was doing before COVID. So we expect that. And for reconstruction, we expect acceleration in the reconstruction market quite a bit, because share of the market was actually down 5% in 2021 versus 2020. For our share growth, we expect continued growth share. Recon, we're close to 14%, which should be in the mid-teens to upper teens here in the next 12 to 18 months. And augmentation will continue to accelerate the growth as well. I don't have a specific number, but we have seen at the beginning of this year as well a continued share growth, so no expectation of slowing down. 
Unidentified Analyst: Got it. That's helpful. And then, Andy, a couple kind of below the revenue line, maybe just on gross margins, in 2022, do you still feel good about that line of sight into the high 50% range and maybe quarterly cadence, if you can also help us there? Then moving a bit lower, just on OpEx, I think for the quarter, it was $26 million. There was maybe some elevated shipping in there, but at a basic level, can we kind of extrapolate that out for full year 2022, or how should we be thinking about OpEx for the year? Thanks, guys.
Andy Schmidt: Sure. So I'll start with the first part on gross margins. As I noted, it's really going to be subject to product mix. And as Ron has been consistently communicating, we're highly motivated and incentivized to really build the reconstruction business. That product mix dynamic alone brings us into the high 50s we feel. When we look at the first half of '22, we're going to continue optimizing our distribution center, which basically costs a little bit of money. We experienced that expense in Q3, Q4. Being conservative, we expect to see some of that expense in Q1, possibly Q2. So the back half of '22 is really where we get our sales in terms of not just product mix but in terms of having optimized their operations. So we still feel very strong about that. In terms of op expense, Q4 very unique in terms of very, very strong revenue performance. Again our outbound shipping to customers, we carry that expense in the sales and marketing line OpEx, so that was elevated in Q4. Likewise in a very positive way, we hit some great milestones and accelerators in terms of commission plans. And so that's a specialized expense for Q4 that very happy to pay out. It was a very strong quarter. As we consider 2022, 2021 if you look at to 2020 year-over-year, we were flat in terms of OpEx. We expect in 2022 to be investing in sales and marketing. We've been consistently communicating that and that's going to be a net increase in OpEx. We expect also to increase incrementally in R&D in terms of new product launch opportunities and so on. We sit with Denise on board, we want to make sure she has the tools and the opportunity to actually deliver. Another part that's going to be a net add will be the purchase of AuraGen, where we've said, it's going to be probably about $2 million worth of launch prep in 2022, the launch in 2023. That's going to be an add. And a possible at G&A, we expect to be flat or down which is great. We were flat year-over-year 2021 to '20. We expect it to be flat or down with the possible exception of investment in Q4 and in Sarbanes-Oxley preparation. That would be a high-class problem so to speak and that we would be doing that in anticipation of cresting $100 million in revenue in 2022. So those are the different items in play. We expect in our Q1 announcement, which will be in May of course to talk more in terms of very specific guidance – guidance range for OpEx. But I will say this we will be building it up using non-GAAP operating expense. Our non-GAAP operating expense in 2021 was $78 million. So we will provide a range on top of that $78 million. There will be a larger number based on what I said in terms of where we expect to operate. Again, the reason why we're waiting until that time line is we are having typical Q1 meetings in terms of how we look at the market, how we look in terms of different projects we're going to pursue both in terms of the IT side but also insurance most importantly in terms of R&D. So we're basically looking at that plan for 2022 and that's going to drive OpEx one way or another. So stay tuned in May for that OpEx specific items.
Unidentified Analyst: That was great. Thanks, Andy. Thanks, Ron.
Operator: Thank you. Our next question comes from Margaret Kaczor with William Blair. You may proceed with your question.
Maggie Boeye: Hey, guys. This is Maggie Boeye on for Margaret today.
Ron Menezes: Hi, how you doing?
Maggie Boeye: Good. Thanks. Just given the fact that we're mostly through the first quarter, I wanted to see if you guys could give us an idea of what the trends you've been seeing so far? And how you expect that to continue into the second quarter?
Ron Menezes: Hey, Maggie I was in the field in Long Island New York in January. In fact what we saw in November December, I met with a lot of reconstruction surgeons. They were very busy in the beginning meaning a lot of surgeries. However a lot of the patients have to cancel last minute because they tested positive of Omicron morning of the surgery. So what we saw in November and December for Recon was happening also in January and February. But just like everything else we're seeing a very strong latter part of the quarter. So we expect the Recon to come back. Augmentation, we didn't see anything to slow down augmentation. However, keep in mind Q1 and Q3 are usually the lower quarters from seasonality, and Q2 and Q4 the higher quarters from seasonality, and we expect that the same.
Maggie Boeye: Got it. Thank you. That's helpful. And I'm just kind of building on the previous question asked about you guys continuing to expand your market share. So you've seen both the augmentation and the recon share expand pretty quickly. So just with all of the momentum particularly within the augmentation market how do you ensure you can capitalize on that momentum and grow your market share at sustainable levels? Thank you.
Ron Menezes: One of the things we focus a lot in Q4 is since the majority of our growth is coming from existing customers about 70% coming from existing car customers, the decision was made to how do we accelerate share within existing customers. It's a lot easier to go from a 10, 15 share to 40, 50 than from a 0 to 10. So we saw a lot of double down and going back to some of the current customers find a ways to expand leveraging a lot of the great marketing initiatives and projects that we have that bring that ability for that surgeon to expand utilization, and the uses of Sientra products from Sientra Academy and other programs that we've done. We're starting to buy those surges to attend those programs. So that's something thing we saw. So that's a plan still for this year is, it's continue to focus on existing customers. We're not going to stop adding new customers. We can add new customers, but there's a much faster return on investment on getting our current customers to accelerate an augmentation. 
Maggie Boeye: Got it. Thanks so much.
Operator: Thank you. Our next question comes from Alex Nowak with Craig-Hallum Capital. You may proceed with your question.
Connor Stevenson: Great. Good evening, everyone. This is Connor on for Alex. Congrats on the great quarter. I guess first off when we think about that 15% to 20% growth in 2022, how much of that growth is going to come from new accounts as opposed to gaining share in existing accounts?
Ron Menezes: Yeah. I would say that I don't expect to change. 70% will come from existing accounts still from both augmentation and recon. Recon will continue to add new accounts but I don't see that changing this year based on what we've seen very successful we saw in 2021.
Connor Stevenson: Sure. Okay. That's helpful. And then there were some changes at the FDA regarding labeling. You spoke on that during the prepared remarks, but can you give any other updates on the regulatory environment on where your larger sizes stand in the review process?
Ron Menezes: Yeah. Those changes are very positive for Sientra because one of the things we're very proud of is our safety profile. If you look at capsule contractors, if you look at risk of ruptures or linking the implants across our 10-year data compared to the competition, we have one of the lowest one, if not the lowest one. So we support the FDA changes to support their recommendation that the patient have full disclosure of any kind of risk. At the same time our unrivaled safety is very clear when somebody looks at our implants versus the competition, so that we're very comfortable with those changes. Large sizes, we are in conversations with the FDA right now and we'll look forward to something to share in the future.
Unidentified Analyst: Great. Sounds good. Thank you.
Operator: Thank you. Our next question comes from Chris Cooley with Stephens. You may proceed with your question.
Chris Cooley: Good afternoon, and thanks for taking the questions. Maybe just two for me at this point. That was a record year, and congratulations by the way on the Health Canada approval as well just now. So as we just think a little bit about the momentum going into 2022, can you help us think a little bit more about the seasonality? I know you referenced the historical seasonality on the aug side in the prior question. But just with the growth that we saw in 2021 and the normalization that you're talking about in aug and we coupled that with an acceleration in recon, can you just help us think a little bit more about just, kind of, the gating first half second half? Is that different? And as a result, do we see -- it sounds like still a flattish adjusted EBITDA number for the full year year-over-year but does that too have more of a second half loading if I'm thinking about this correctly? And then I've got a quick follow-up.
Andy Schmidt: So let me start on this one. As you point out what's going to be interesting to see how it plays out in 2022 is going to be the comeback in recon. The bottom follows the typical patterns. What we would expect to see is first half, second half really about equal maybe 49% first half, 51% second half. However, as Ron has mentioned before Q1 and Q3 are our weakest quarters. And so if you consider all four quarters at 25%, no seasonality, we would view Q1 and Q3 as perhaps at this time 22% of the total with basically the balance being picked up in Q2 and Q4.
Chris Cooley: Okay. Thank you. And then maybe just similarly just from a longer term perspective as we think through the year, obviously, there's additional competitive entrants expected coming in around calendar year-end or early into 2023. Can you speak to just how you're able to contract in particular on the reconstructive side both from expander as well as from an implant perspective? And just I guess how defensible do you think that -- or what type of barriers, do you have there that can help you sustain at well-above market growth in conjunction with that? Could you maybe elaborate a little bit more on the physician loyalty program how that's being modified if at all here in 2022? Thanks so much and again congrats on the record year.
Ron Menezes: Thanks Chris. The great thing about the hospital is as stated is a three-year contract. So it really -- it blocks -- now one -- and also one of the critical thing that hospitals look for is clinical data. What is your clinical data in this case in our AlloX2 Pro Tissue Expander and ability to provide that clinical data to hospitals? We have that. We tune to add more and more publications coming out this year on a tissue expander and our implants as well. So you have that three-year contract. And you're talking about a competitor entering. I'll ask the competitor maybe entering what is their project their tissue expander, I would ask that question to them, because I don't think we have any clarity on that, if they're really coming in 2023. I don't want to know. So that protects it. From the programs that we have for surgeons, the loyalty program is more in the augmentation side. And those are the kind of programs we felt to be very effective. Our marketing team doing an outstanding job, pressured test them last year, see which ones work. We were expanding adding more. A matter of fact one-time only had 10% to 20% of our surgeons in those programs. Now we have close to 50% and that's why you see more and more share acceleration with existing customers. And again, that protects us from any current competitors than possible new ones. But keep in mind, I did state, we have an 11% share in augmentation. We have 89% of the market to go. So very excited to move forward and continue to take share away from the two giants we're competing with. That's my main focus here in the next 12 months and the next 24 months.
Chris Cooley: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Anthony Vendetti with Maxim. You may proceed with your question.
Anthony Vendetti: Thanks. Yes. I know it's early since you said the news is basically hot off the press about Health Canada just approving your implants, but do you have a plan in place? Where do you think that contribution could be in 2022? How do you -- are you ramping up the sales force? Is there going to be a direct force there? Are you going to go to a distributor? Just maybe a little bit of color around that.
Ron Menezes : Yes. Anthony, we're well set to go. We have a fantastic team up there that's going to help us roll it out. They are ready. We're waiting for approval. We told to you maybe a month ago, so they're ready to go. It's going to be what we call distributor-light approach, where we send the products of consignment. And obviously, as they sell, they'll reimburse us for the amount of money. So we're going to build slowly. There are two major competitors there the same ones we're competing in the US. And we expect to really have a nice contribution probably in 2023, but we'll start building the latter part of the second quarter into the rest of the year. But Andy, you give a little more color on the total contribution from international.
Andy Schmidt: Sure. So as all are aware, obviously, we're in Japan. Now we're in Canada. If you even layer in Puerto Rico, again, we're starting small, this is early for us. Canada earliest launch is Q2. And as Ron said, it will build as we go starting with new accounts, but it's going to be under 5% of total revenue when you consider our guidance in 2022. But it's a nice contributor. And basically, it's a foothold that builds for the future.
Anthony Vendetti: Okay. Great. And then just a couple of quick follow-ups. In terms of sales force expansion, you made I think a comment during your prepared remarks. Can you just remind us where that is in terms of direct feet on the street right now? And what's the goal by the end of 2022? 
Ron Menezes: Yes. We had 11 total representatives at the beginning of this year. We obviously found with our current performance in some states such as California, Florida in the United States we need more help. So, we divide us some territories in half. We went from 48 -- what were called the PSCs to 55. And then we added three more -- 56 added three more of our reconstruction managers. So we have four that cover the whole country. We now have seven to cover the whole country and for obvious reasons because of the big focus on reconstruction. But keep in mind that our PSCs call them both reconstruction and both augmentation as 80%-plus of the plastic surgeons out there to both recon and aug. So, they call them both. So, that's about 11 total additions in addition to also International Director because of its reasons as we continue to expand and have the goals to get into China in the next two-plus years in the markets as well.
Anthony Vendetti: Okay. And then just the last verification. Market share you said, is that 14% up 4% from the last quarter?
Ron Menezes: From the last -- 2021 total, we are now almost 4% to almost 14% for reconstruction. Within augmentation, we actually close to 11% at the end of last year.
Anthony Vendetti: Okay, perfect. Thank you all. Appreciate it.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Ron Menezes for any further remarks. 
Ron Menezes: Well, thanks everyone. I look forward to our first quarter call sometime two months' from now, but thank you for being -- joining us and I hope everyone have a safe and wonderful 2022.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.